Operator: Good day, and thank you for standing by. Welcome to Jones Lang LaSalle Incorporated's Third Quarter 2017 Earnings Conference Call. For your information, this conference call is being recorded. I would now like to turn the conference over to Grace Chang, Managing Director of Investor Relations. Please go ahead.
Grace Chang - Jones Lang LaSalle, Inc.: Thank you, operator. Good morning, and welcome to our third quarter 2017 conference call for Jones Lang LaSalle Incorporated. Earlier this morning, we issued our earnings release, which is available on the Investor Relations section of our website, jll.com, along with a slide presentation intended to supplement our prepared remarks. During the call, we will reference certain non-GAAP financial measures, which we believe provide useful information for investors. We include reconciliations of non-GAAP financial measures where appropriate to GAAP in our earnings release and supplemental slides. As a reminder, today's call is being webcast live and recorded. A transcript of this conference call will also be posted on our website. Any statements made about future results and performance or about plans, expectations, and objectives are forward-looking statements. Actual results and performance may differ from those forward-looking statements as a result of factors discussed in the company's Annual Report on Form 10-K for the fiscal year ended December 31, 2016 and in other reports filed with the SEC. The company disclaims any undertaking to publicly update or revise any forward-looking comments. And with that, I would like to turn the call over to Christian Ulbrich, our Chief Executive Officer, for opening remarks.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thank you, Grace, and welcome to everyone joining today's review of our results for the third quarter and first nine months of the year. As always, our CFO, Christie Kelly joins me on the call, and she will provide details about our performance in a few minutes. To summarize, we delivered a strong third quarter with broad-based, balanced, and mostly organic revenue growth and margin expansion in our Real Estate Services and at LaSalle. We continue to strengthen our operating cash flows. On the back of our performance, our board of directors declared a semi-annual dividend of $0.37 per share to be paid in December. Total 2017 dividends will reach $0.72 a share as a result, 13% higher than a year ago. For the quarter, revenue increased $1.9 billion, 13% above the third quarter of 2016 in local currency. Fee revenue totaled $1.6 billion, a 12% increase over the same period last year. For the first nine months of the year, revenue totaled $5.4 billion, an 18% increase in local currency from the same period a year ago. Fee revenue totaled $4.5 billion, up 17% from the first nine months of 2016. Adjusted net income was $90 million for the quarter, up from $65 million for the third quarter in 2016. Year-to-date adjusted net income reached $194 million compared with $190 million in the same period a year ago. Adjusted diluted earnings per share totaled $1.96 for the quarter compared with $1.42 for the same period last year. For the first nine months, adjusted diluted earnings per share reached $4.23, compared with $4.17 for the same period in 2016. From a macro perspective, 2017 is proving to be a good year for commercial real estate. Global GDP growth is projected to reach 3.6% this year, up from 3.1% in 2016. For details, please see the slides posted in the Investor Relations section at jll.com. Slide 6 shows activity in capital markets and leasing and real estate markets worldwide. At $165 billion, global transactional volumes in the third quarter were virtually the same as Q3 2016, bringing year-to-date volumes to $464 billion, 2% higher than in the same period last year. Capital value growth for prime assets in 26 major office markets rebounded to nearly 6%. Several of those office markets including Frankfurt and Hong Kong recorded a double-digit capital value growth over the past year, the result of steady income growth and further yield compression. While prime office yields remained stable on average across these 26 markets, they're beginning to diverge. Over the past year, for example, yields have decompressed by 10 to 40 basis points in the U.S. gateway cities as they move into a later stage of the cycle. By contrast, several European and Asia-Pacific cities, including Brussels, Hong Kong, and Sydney, have registered further yield compression of 25 basis points or more. Office leasing activity remained solid through the first nine months of the year, up 3% globally compared with the same period in 2016. The global office vacancy rate increased marginally to 12% during the third quarter. Rents for prime office space in 26 major markets are growing at 4% year-on-year compared with the 2.7% increase recorded for the full year in 2016. For detailed comments on our performance in this market environment, I'll turn the call over to Christie.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thank you, Christian, and welcome to everyone on our call. Christian provided the headline summary of our results for the quarter and year-to-date, so I will move directly to the details of our performance. Revenue growth occurred across all geographic segments, reflecting expansion of both transaction and annuity businesses, as well as strong organic gains again for the quarter and year-to-date. With respect to fee revenue growth in our Real Estate Services business, organic revenue increases accounted for nearly 70% for the quarter and 50% year-to-date with the balance coming from acquisition contributions after the third quarter of 2016. During the quarter, strong growth in operating leverage occurred across all JLL geographic segments as well as LaSalle, which contributed to margin expansion for the business overall. The EMEA and APAC geographic regions demonstrated the most notable contributions to organic growth and margin expansion. Larger than anticipated LaSalle incentive fees and higher equity earnings also improved margin performance during the quarter. Turning to specific service line results, all service lines grew organically. Total JLL leasing revenue increased 4% for the quarter and 12% year-to-date. This growth was substantially all organic, led by EMEA and the U.S. for the quarter and year-to-date, respectively. Total JLL Capital Markets fee revenue grew 13% for the quarter and 10% year-to-date, primarily through organic means. We saw strong transaction execution in EMEA and Asia-Pacific for the quarter and strong growth across all regions year-to-date. Our Property & Facility Management fee revenue grew 13% for the quarter and 35% year-to-date. A majority of growth for the quarter and year-to-date resulted from the Integral acquisition. Year-to-date Property & Facility Management generated a 6% organic growth rate fueled by annuity growth momentum in Asia-Pacific. Project & Development Services fee revenue grew 18% for the third quarter and 17% for the year. Year-to-date reflects a 13% organic growth rate driven primarily by the Americas and Asia-Pacific. Advisory and Consulting grew nearly 18% for the quarter and 23% year-to-date, with contributions from both organic and M&A activity. We have provided additional information regarding our margin on page 7 of our supplemental slides. Adjusted EBITDA margin calculated on a fee revenue basis was 10.3% for the quarter and 8.9% year-to-date, an improvement of 150 basis points and decline of 60 basis points, respectively. For the third quarter, nearly 60% of the margin expansion is attributed to the increased level of incentive fees and equity earnings. We also had positive organic accretion from growth in transactional businesses combined with improved profitability from operating leverage and cost saving initiatives across all regions. Continued investments in technology and data slightly offset this quarter's margin improvement. As previously reported, results at Integral also partially offset our margin improvement. We continue to make progress integrating our Integral acquisition as well as making additional investments into our outsourcing platform in EMEA. These efforts, including Integral, had a higher-than-anticipated negative impact on our adjusted EBITDA margins for the year-to-date of approximately 70 basis points when compared with pre-Integral consolidated margins. This was due to some integration delays and service mix declines, which do not materially impact the strategic benefits of our acquisition. Consistent with our capital allocation strategy, we have shifted investments primarily to technology and data and slowed the pace of M&A to focus on integration. As it relates to technology investments, nearly 60% continues to be focused on front-end client-facing tools and data management, while the balance supports our legacy systems and infrastructure, as well as our service centers and supply chain capabilities. Our balance sheet reflects total net debt of $1 billion as of September 30, 2017, a decrease of $254 million or 20% from last quarter, primarily due to business performance and ongoing improved working capital management. In the third quarter, we generated approximately $300 million of operating cash flow. As we move forward, we will remain focused on disciplined working capital management to maximize free cash flow. We remain committed to an investment grade balance sheet. Turning to segment results, all in local currency except for capital markets, which aligns with U.S. dollar-denominated research data, third quarter fee revenue in the Americas increased 5% over third quarter 2016 and 14% year-to-date. Nearly 60% of the third quarter growth was achieved organically through increases in leasing and Project & Development Services, as well as Advisory and Consulting. Capital Markets fee revenue declined by 2% for the quarter against a reduction in overall market volumes of 20%. While our investment sales decreased consistent with market conditions, our outperformance reflects organic growth driven by debt-related activity in multi-family. Our leasing business performed relatively in line with market growth absorption of 4%. The growth in revenue was driven by favorable market conditions in the U.S. Northwest, New York, and New England markets. Property & Facility Management, Project & Development Services, and Advisory, Consulting grew by 2%, 8%, and 37%, respectively. Performance was driven by new clients and portfolio expansion as well as by acquisitions such as the BRG, ATG, and our U.S. Valuations business that are generating additional cross-selling. Through the end of the third quarter, Corporate Solutions tracked to a record-high renewal rate of 98%, and has been a notable contributor to leasing and advisory consulting growth for both the quarter and year-to-date. Adjusted EBITDA margin for the quarter was 12.1% on a fee revenue basis, up 60 basis points from the prior year. Positive margin expansion was driven by organic gains in transactional businesses, operational cost management, including scaling the support in industrial-related property management and improved technology solutions profitability following the completion of integration and first-year transition of the Corrigo and BRG acquisitions as well as the RED technology platform. Slightly offsetting these were investments in our ERP system upgrade and other technology and data investments. Turning to EMEA, the third quarter's top line reflects double-digit growth across all service lines. Organically, we achieved a 14% organic growth rate, primarily as a result of increases in Leasing and Project & Development Services. Total fee revenue grew by $87 million or 21%, with one-third driven by the acquisition of Integral in August of 2016. Capital Markets fee revenue in the third quarter grew 23%. This performance was largely in line with investment sales volume increases of 24% and was led by favorable market conditions in the UK, as well as good performance across several continental European countries, all of which brought Capital Markets fee revenue back in line with pre-Brexit third quarter 2015 level. EMEA Leasing revenues were up 9% for the quarter compared with 7% growth in market growth absorption. We saw strong organic growth in office and industrial leasing in the UK, France, and Germany. Property & Facility Management fee revenue grew 27% for the quarter, primarily due to the acquisition of Integral in the UK. Project & Development Services fee revenue grew 36%, driven by activity in MENA and our Tetris business in France, UK, Poland, and Germany. Advisory Consulting revenue grew 13% organically, driven by the UK and MENA. The EMEA regions delivered adjusted EBITDA margin of 2.7% in the third quarter, an improvement of 40 basis points from the prior year. Solid growth in transactional businesses across a number of countries, combined with expense management and improvement in receivables collection, expanded margins organically. However, the continued Integral integration together with investments in technology and data as well as in our European ISM platform, partially offset this margin expansion. Moving to Asia-Pacific, total revenue grew by $82 million or 24%. Fee revenue increased by $38 million or 13%, with Australia, Greater China and Japan contributing notably to performance in the quarter. Capital Markets revenue increased by 33% for the quarter over-performing market volumes that were up 5%. The revenue increase was due to organic gains driven by strength throughout the region. Leasing revenue for the third quarter grew 5% year-over-year while market growth absorption increased 3%. We saw particularly good performance in Greater China but positive gains in Japan. A highlight in Asia-Pacific continues to be the strength of organic fee revenue growth in Property & Facility Management, Project & Development Services and Advisory and Consulting with increases of 11%, 22% and 6% respectively. Notably, fee revenue for our Annuity businesses accounted for nearly half of the growth for the quarter and reflects an organic growth rate of 12%. Annuity businesses have been the fastest growing services in Asia-Pacific for the past seven quarters at increasingly accretive margins. Third quarter adjusted EBITDA margins of 9.8% were up 160 basis points compared with the third quarter last year. Margins were positively impacted by strong capital markets performance, cost management initiatives and accretive growth in annuity businesses. LaSalle Investment Management delivered a solid performance for the quarter with total revenue of $102 million, an increase of 28% over the prior quarter. The growth was driven by outsized incentive fees and equity earnings. Incentive fees were up $27 million compared with the prior year, earned on real estate asset dispositions from opportunistic funds. The activity represents an acceleration of 2018 incentive fees based on client-driven asset disposition primarily in Asia-Pacific. Equity earnings were $11.6 million, compared with $4.9 million in the prior year. The increase in equity earnings was primarily a result of net valuation increases across our co-investment portfolio and represents an approximate 4% improvement. Nearly 90% of our portfolio today is influenced by fair value accounting and, therefore, any changes in valuation, up or down, will be reflected in current-period results. Assets under management grew 2% to $59 billion despite dispositions and withdrawals totaling $1.8 billion. Capital raising remains active as LaSalle raised $800 million of new capital in the quarter. LaSalle has $6 billion in dry powder to deploy with active acquisition plans across all regions as a result of continued client-led capital allocations into real estate. Adjusted EBITDA margin including equity earnings calculated on a fee revenue basis was 32.9% for the quarter compared with 17.6% in the prior year. The margin expansion is largely the result of the outsized incentive fees and equity earnings, combined with profitability improvement on private equity annuity revenue. As many of you know, beginning in the first quarter next year, we will adopt the ASC 606, the new GAAP revenue recognition standard. Although we are continuing to work on our analysis, we expect this change to result in a material increase in gross revenue and associated pass-through expenses we show from our Annuity businesses. Using full year 2016 as an example, associated growth revenue and pass-through expenses will both increase by approximately $6 billion. For comparability and ease of translation into the new standard, we will restate 2016 and 2017 results in accordance with ASC 606 requirements. Look for more information about the change in the 10-Q we will file this afternoon and additional communications over the coming months. And now back to Christian for closing remarks.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thank you, Christie. Slide 22 shows a few of our recent business wins across service lines and geographies. Year-to-date, in our Corporate Solutions business, we have won 147 new assignments, expanded existing relationships with another 60 clients and renewed 39 contracts. These 246 wins total 736 million square feet across all regions and represent a 72% win rate for new business expansions and renewals. We earned a major global multi-service line win with HP, Inc., which includes integrated facility management, Project & Development, as well as integrated portfolio services. The assignment (21:41) covers approximately 21 million square feet in more than 60 countries around the world. Our Capital Markets and Leasing and Management business continue to record major wins around the world. They include the largest ever real estate transaction in Finland, a record Brookdale U.S. multi-family debt financing, and the assignment to manage the Gold Coast 2018 Commonwealth Games Village in Australia, the largest urban renewal project on the Gold Coast. Moving through the fourth quarter, our researchers see 2017 finishing as a strong year for commercial real estate. Globally, we are on track to hit our original market projections for this year. Investor demand for real estate continues to be significant. As a result, we expect 2017 full-year transaction levels to remain on par with the $650 billion recorded in 2016, and we anticipate leasing volumes to be 2% to 5% higher than in 2016. In this environment, we remain confident about our business prospects as we move to the end of 2017. Our business outlook established in January 2017 for the year is summarized on slide 9. Looking ahead to 2018, while the global economic momentum remains broadly positive and real estate fundamentals continue to be stable, our JLL Research currently forecasts slightly lower investment sales volume based on an investment market with less available product to trade and greater investor discipline. As indicated on slide 10, market volumes are forecasted to soften by 5% to 10% next year to about $600 billion. In Leasing markets, our research indicates continued positive occupier demand in 2018 with annual volumes remaining broadly in line with 2017 levels. Slide 10 also shows some of our key priorities for 2018. Focusing on generating cash from operations to support our capital allocations priorities, which include: leveraging the scale of our Corporate Solutions platform including the Integral integration, expanding our Capital Markets capabilities, investing in technology and data systems capabilities to differentiate JLL from competitors, and continuing to transform the JLL platform to enhance operational efficiency and productivity. To conclude our prepared remarks on these calls, we'd like to mention a few of the awards and honors our people earned during the quarter. For the second year in a row, Corporate Responsibility magazine ranked JLL Number One Overall for Corporate Responsibility in the Combined Financial Services Insurance and Real Estate Industries. Also for the second consecutive year, Frost & Sullivan named us Asia-Pacific Facilities Management Company of the Year. In the US, we were named one of Working Mothers magazine's Top 100 Companies to Work For. And for the seventh consecutive year, we were voted Thailand's Number One Real Estate Advisor. Thanks to all our people who contributed to these and many other awards. Thanks and great appreciation are also due to our people for their skills, actions, and tireless support to help colleagues and clients affected by natural disasters in many parts of the world. Finally, and before we take your questions, I'm pleased to announce our first Investor Day, which will be held in New York on December 13th. A live webcast will also be made available. You can find details on the Investor Relations page at jll.com. Now to your questions. Operator, will you please explain the Q&A process?
Grace Chang - Jones Lang LaSalle, Inc.: At this time, we would like to take any question that you might have for us today. I'll now hand it over to our operator to lead today's Q&A session.
Operator: Thank you. I'm showing we have our question from Mitch Germain with JPM Securities (sic) [JMP Securities LLC] (26:23). Your line is open, sir.
Mitch B. Germain - JMP Securities LLC: Good morning.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hey there, Mitch.
Mitch B. Germain - JMP Securities LLC: Christian, to your comment about the 2018 outlook with regards to broadening your Capital Markets capabilities, I'm curious what the game plan is to do that?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Hi, Mitch. Good morning.
Mitch B. Germain - JMP Securities LLC: Good morning.
Christian Ulbrich - Jones Lang LaSalle, Inc.: As you know, we have been growing our Capital Markets business over the last couple of years. We still have significant room to grow especially in the Americas, in the U.S. As you know that our positioning there is very strong in the debt business, but we still see lots of room to maneuver in the area of the investment sales. So, that is clearly one focus going forward. And then, we are overall, very much focused to extend our Capital Markets business across the whole capital stack. So, not only buying and selling buildings and working on the debt side, but also on the equity and on the M&A side.
Mitch B. Germain - JMP Securities LLC: Great. Christian, while I have you, one year into your tenure, probably not as much sleep as you're accustomed to, but maybe just talk about some of the kind of wrapping things up some of the positives and some of the challenges that you face during this time.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, obviously, I'm very pleased that the overall market environment is favorable and as it looks it continues to be quite favorable going into 2018. But it's obviously kind for a new CEO to be starting in a favorable market environment. This is a well-run business which I took over and so there wasn't many major surprises. We're working hard on becoming much more digital-focused and that takes a lot of the focus of the leadership team.
Mitch B. Germain - JMP Securities LLC: It did seem like the technology investments were less of a margin drag this quarter. Is that maybe a sign that the investment is slowing as just a percentage of the overall or don't read to a specific quarter here?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, I mean, we are trying to get better and better around the way we are spending money on technology. And I think we have made progress on that in becoming more efficient and taking advantage from the overall scale of our platform. So we're investing still heavily into new products, and what I would call investing into the future whereby we are getting much more efficient in the way we run our existing systems, and kind of the foundations of our technology platform. And I think that is what you see in that quarter, and I would hope that this will be pretty much the picture going forward.
Mitch B. Germain - JMP Securities LLC: Great. Last one for me. Obviously, the balance sheet has improved pretty dramatically, and we're hearing in the M&A environment, pricing has become a bit more rational. So, is there any change in posture now that we're – I guess have somewhat integrated the Integral business, and some or the other M&A investments you've made? Could we see you guys re-emerge as a player in M&A?
Christian Ulbrich - Jones Lang LaSalle, Inc.: We have been looking at different offerings which were out there on the market over the last 12 months. It's not that we have gone to sleep on M&A, but we clearly have risen kind of the hurdle of what is really attractive to us. And as you rightly say, we are continuing to integrate the past M&A. So, I think it's the same going forward. We are looking at all the interesting targets which are out there, but it has to be really compelling, and pricing is still very, very aggressive. And so, so far, we feel comfortable with our approach this year.
Mitch B. Germain - JMP Securities LLC: Thank you.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Mitch.
Operator: And I'm showing next question is from David Ridley-Lane of Bank of America. Your line is open, sir.
David E. Ridley-Lane - Bank of America Merrill Lynch: Sure. 2017 is obviously a year of significant investments in IT and people. As the margin bridge shows, the drag has gone from 100 basis points in the first quarter, 70 basis points in the second, now just 30 basis points in the third quarter. Does three quarters make a trend or is year 2018 another planning cycle, another potential step up in investment?
Christian Ulbrich - Jones Lang LaSalle, Inc.: As I said, we have continued to invest heavily in technology, and so, I wouldn't just take that as a trend because if we ride that trend further, that would mean we don't have any margin drag on technology going forward. That won't be the case. As you know, we've announced our JLL Spark activity in the second quarter this year. That is taking pace now, and that will need more investment in 2018 obviously than it did in 2017. So, don't read too much into it. The savings, as I said, are not coming from the investments so much. The savings are more coming from a more effectively, efficiently-run existing platform.
David E. Ridley-Lane - Bank of America Merrill Lynch: Okay. And did I hear you right that the Integral integration delays were 70 basis points drag on year-to-date margins? And if so, can you provide a little more color on that?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi there, David. Yes. Yeah, the Integral integration is a 70 basis points drag. And a little bit more color on that, we're going deeper in the technology investments that we had as we had communicated previously, as well as really working on the modernization of the platform along with that technology investment, together with really driving profitable revenue performance across Europe as we drive cross-sell and set that platform up together with our European ISM platform for success in our future, in alignment with our strategy.
David E. Ridley-Lane - Bank of America Merrill Lynch: Okay. Should I think about the 70 basis points year-to-date as being largely nonrecurring? Or is a portion of that around further integration with your European platform and so forth? Does some of that continue over the next few quarters?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think, David, you can consider that to continue over the next few quarters as we integrate the business and build our capabilities throughout Europe. The team is working very hard. We're really pleased with the leadership and the progress and more to come as we develop that capability and the third leg of our stool going forward into 2018.
David E. Ridley-Lane - Bank of America Merrill Lynch: Okay. And then just a last one from me to pick up on a comment you made about potentially some of LaSalle's fees this quarter being pulled forward from 2018. Any sort of early thoughts on LaSalle's incentive fees for 2018 relative to what you've previously communicated as kind of normalized levels?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think, David, as it relates to LaSalle, it's a little too soon to call that. And as you know, we don't control the incentive fees specifically or the equity earnings for that matter. And so to that point, I think going forward for your modeling purposes for 2018 and for the benefit of everybody, I would just keep your 2018 look consistent with historical norms.
David E. Ridley-Lane - Bank of America Merrill Lynch: Thank you very much.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, David.
Operator: I'm showing next question is from Anthony Paolone with JPMorgan. Your line is open, sir.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Hi, Anthony.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi, Anthony Paolone. How are you?
Anthony Paolone - JPMorgan Securities LLC: Fine. Thank you. My first question is just I guess following up on Mitch's about M&A. If I look on page 10, your bullet that says focus capital allocation strategy on transformational growth. I was hoping maybe you could just level-set on that, because when I read that, one takeaway is perhaps that you're out big-game hunting for acquisitions. Is that how to read that, or how do I think about that bullet?
Christie B. Kelly - Jones Lang LaSalle, Inc.: No. I think, Anthony, consistently with what Christian has communicated and in alignment with our capital allocation strategy on, look, we're still looking. We're not out big-game hunting, but that reference point was specifically to technology and our drive for digitization, both on front-end client-facing opportunities, together with our ERP transformation as we've grown substantially over the past decade, and now it's time to update our tools and drive operational efficiency.
Anthony Paolone - JPMorgan Securities LLC: Okay. Thanks for that. And then if I look at the Americas and your properties and Facilities Management growth rate was down, it's about 2%. How do we think about where that runs on a go-forward basis? It seemed like the business overall should have been double digits, and I know some of the other regions had acquisitions in there. So, just trying to understand where that growth rate should settle out?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yeah. I think, Anthony, the way to think about that is just the phasing of major RFPs in the Corporate Solutions space as it relates to large outsourcing in Facilities Management. It really just is phasing. And specifically our Corporate Solutions business stacked up some significant renewals together with new wins that will see Accrue Benefits to the installed base of Facilities Management going forward into 2018.
Anthony Paolone - JPMorgan Securities LLC: Okay. And then, if you think about you all leveraging your Corporate Solutions into other business lines, where do you think we should see the most impact from that in the next, say, year or so and maybe perhaps even to what magnitude?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, I don't know whether I can give you something around the magnitude. But obviously, it falls very much into our Leasing and P&DS services, that cross-sell. And that is very, very important because it goes both ways. When you have access to these corporate clients, that makes you also much more attractive for the landlords in assigning you leasing assignments for new developments. So, it's a very important cross-sell factor of our Corporate Solutions business.
Anthony Paolone - JPMorgan Securities LLC: Okay. And just last question on La Salle Investment Management. What do you think drives growth in AUM in that business over the next couple of years, like what component of it do you see the most opportunity?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, at the end of the day, it's performance. If you have an excellent performance, you have the ability to raise equity and that will then, at the end of the day, drive the overall assets under management. The flip side to that is obviously that for many firms (39:17), it's also quite attractive to sell. And so, we are very happy with the way we are able to get new equity in. But at the same time, we do a lot of dispositions, and that's why you haven't seen a big growth in the quarter.
Anthony Paolone - JPMorgan Securities LLC: Okay. Thank you.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Anthony.
Operator: I'm showing our next question is from Brandon Dobell from William Blair. Your line is open, sir.
Brandon B. Dobell - William Blair & Co. LLC: Thanks. Maybe first, leveraging off of Anthony's question. Christian, you mentioned leasing was the most obvious place to see some of the efforts of continued traction in Corporate Solutions. But on a geographic basis, do you see one of the regions being further ahead in your ability to cross-sell or to leverage broader wallet share within clients, i.e., is EMEA more ready for that kind of approach from you guys, or is the Americas the place where you see the most traction?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, I think naturally, it's the Americas where there is the closest ties between our Corporate Solutions business and our leasing and tenant rep agents. But you also have that benefit in EMEA and Asia-Pacific, but it's very often the U.S. corporates, which we have as a client who we then serve in EMEA and Asia-Pacific. I think the biggest difference is that the size of the deals in the Americas is significantly higher by nature than it is in Europe because Europe is much more dispersed. And that's why the major benefit is frankly in the U.S.
Brandon B. Dobell - William Blair & Co. LLC: Got it. Okay. Christie, do you remember when you first started one of the conversation, I think, in one of the earnings calls, it was just about visibility into productivity of people within JLL, whether they be in Corporate Solutions or the Transaction businesses. And I want to get your sense of how you think the company has progressed there, your visibility with the technology tools? But also beyond that, as you think about the impact of that visibility on how the turnover should look the next couple of years. Maybe just some color around productivity in general from you.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Sure. Sure, Brandon. So from a productivity perspective, we have progressed smartly in terms of not only our investment in supply chain leadership together with our people and our JLL business services capabilities. And specifically, we've been driving productivity to substantially combat fee pressure in our business. No new news to anybody on the line. We all suffer from fee pressure, and with that, the demand to really drive productivity in our operations, which is very much part of the business case on our investment in our new ERP system. Specifically when you look at the front-end of our business, we talked a lot about revenue per head and what we were seeing in terms of productivity. We've continued to invest in great people around the world. We've driven overall, from a Capital Markets perspective, 4% to 5% revenue per head quarter-on-quarter, year-to-date on a trailing 12 basis in Capital Markets. And specifically, as it relates to our Leasing business, around the same with leaders specifically in our Capital Markets business being Americas and Asia-Pacific, as you can imagine. We'll see a nice pick-up in EMEA as a result of their rebound in the third quarter and their production post-Brexit. And then from a leasing perspective, really nice performance around the globe in the Americas, EMEA, as well as APAC. As we move forward, productivity is very much part of our agenda. That's very tied to our digitization strategy, and you can expect more of the same as we continue to drive client centricity, best-in-class services and the best operating platform in the business.
Brandon B. Dobell - William Blair & Co. LLC: And maybe as a follow on to that, I'm not sure this is for you Christie or Christian, but in the event that these productivity metrics continue to perform well which generates pretty high incremental margins, how should we think about the company reinvesting those, let's call it, margin upside, given the trajectory on some of the spending and the Integral pressures, et cetera? I could envision a scenario where you do have significant – these are incremental margins or incremental profitability because of productivity. Should we expect all that to be reinvested back in the business and given your comments early on about cash flow as well? Just trying to get a sense for how to balance some of these opposing forces like upside versus investment.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, I gave you last year, I think it was exactly a year ago, that – a bit of a guidance that we will run the company between a 10% to 12% adjusted EBITDA margin, and nothing has changed on that assessment. So in that current market environment, we obviously have a good market in most of the markets we are active in. That allows us to accelerate some of the investments we have on our list. And that will be our approach going forward. There is so much opportunity in driving a company like ours into the digital world that we are not running short of areas to invest in. And so, picking up on your point, we'll return most of it, of that productivity gains, into further investment. For the time being, the answer is yes, as long as we are able to stay in that corridor of 10% to 12%.
Brandon B. Dobell - William Blair & Co. LLC: Got it. Okay. Thank you.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Brandon.
Operator: I'm showing our next question is from Jason Weaver with Wedbush Securities. Your line is open, sir.
Jason Weaver - Wedbush Securities, Inc.: Hi. Good morning. Thanks for taking my question, and congratulations on the quarter.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Jason.
Jason Weaver - Wedbush Securities, Inc.: Christie, I wonder – I might have missed this when you said it, but what did you say the organic fee revenue growth was for Property & Facility Management in EMEA?
Christie B. Kelly - Jones Lang LaSalle, Inc.: In Property & Facility Management for the quarter...
Jason Weaver - Wedbush Securities, Inc.: Yeah.
Christie B. Kelly - Jones Lang LaSalle, Inc.: ...EMEA is 2% organic.
Jason Weaver - Wedbush Securities, Inc.: Okay. And then more broadly – maybe, Christian, you can help with this – going into the seasonally biggest quarter in the fourth, what does your Capital Markets pipeline look like today versus what you saw last year?
Christian Ulbrich - Jones Lang LaSalle, Inc.: It's about the same. Capital Markets, it's still very strong. The market environment is very favorable. It's not like 2015. But if you take a 10-year, an average, a 10-year time horizon on average, it's still a very favorable environment. What we have seen last year in December was that people are becoming very, very disciplined. And so, some of the deals which would have closed in 2015 December didn't close in 2016 December, and we see still that same behavior. Although you have a long pipeline of buyer on each product you bring to the market, the buyers are very disciplined. And I think that is also the big difference to the market environment we have seen in 2006 and 2007. There is a much stronger discipline in the market, which we believe is good because that is probably one of the reason why that whole favorable market environment has continued to go forward and we have now experienced a pretty long upward swing on that.
Jason Weaver - Wedbush Securities, Inc.: Okay. Thank you. And just one more, I wonder – I know it's still early in the process and this is likely to get changed several times from now, but I wonder if you have any comments on the likely effects to your businesses, especially in the U.S., from the GOP's tax plan?
Christie B. Kelly - Jones Lang LaSalle, Inc.: From that perspective, Jason, really too soon to call.
Jason Weaver - Wedbush Securities, Inc.: Fair enough. All right. Thank you.
Operator: I'm showing our next question is from Jade Rahmani with KBW. Your line is open.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thanks very much. In terms of the 5% to 10% decline in investment sales market bond you expect for 2018, can you give any color by property type and geography, maybe areas of strength or relative weakness?
Christian Ulbrich - Jones Lang LaSalle, Inc.: You know what, I think this is kind of – I wouldn't even call it weakness. I mean, we are coming from a very high level, and on that very high level, our researchers are forecasting that it comes a little bit down. Let's not call it a weakness. With regards to property types, I think that can go across. As you know, we have some pressures in parts of the shopping center market and the retail market overall. So, that could sit a little bit in that corner, but you can also see some of the office depth (49:20) to go backwards because just many buyers of a class A major office towers in the world, they don't want to sell anymore. They just want to hold on to it. And so, the availability of product is declining, which will have an impact on transaction volumes.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: And how would you say your relative strength of the apartment sector ranks?
Christian Ulbrich - Jones Lang LaSalle, Inc.: It continues to be very strong. We had a bit of an impact because of some of the weather disasters we have seen in the U.S. But overall, there's no sign of weakness. The environment is still very favorable for that market. And I would say for Europe, that's even growing now. It has always been a big sector for us in the U.S., but it's now even growing in Europe that sector. So overall, that is, again, a trend which is very strong and probably will continue to be strong going forward.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: And in terms of the Brookdale large transaction, close to about $1 billion. Can you say the magnitude of earnings impact in this quarter, and also, if there is a pipeline of similar-sized deals that you could win going forward?
Christian Ulbrich - Jones Lang LaSalle, Inc.: I can't give you any number on that specific deal, and we just highlighted that one deal. We have many major deals in each quarter, but most of them, we are not allowed to talk about. So don't focus too much on a single deal. This is not a stand-out with regards to how it impacts our P&L.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: In terms of the incentive fee outlook, would you say, overall, this is a headwind in 2018 or a tailwind? In other words, can you maintain extremely high levels of incentive fees despite the pull forward that you noted?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, we have incentive fees in our LaSalle business and we have incentive fees in our Capital Markets business overall, and it's indeed pretty hard to predict. If you think about the yield level, we are currently in from an overall market, you would say it's becoming harder and harder every year because we are already at such a low yield level and therefore it's much harder to get into incentive fees in our overall Capital Markets business. But when you look at our fund business within LaSalle, it depends a little bit when you start selling off some of those products. And what Christie stated is that we saw some sales in the third quarter, which we didn't expect to happen in the third quarter. We expected them to happen in 2018. But I wouldn't draw any conclusions with regards to 2018 on that, that now 2018 has to be significantly lower. We will see what our clients are saying and how we agree with our clients, what funds will liquidate in 2018 and who will want to stay in over and above 2018.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: In terms of the Americas leasing, it was up about 2%, some of your peers have reported slightly stronger growth rates than that. Can you just discuss that business?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Yeah. That business has been always a real backbone for us and it will continue to be so. Don't read too much into it. We had some major deals slipping into the fourth quarter, which we actually expected to close into the third quarter. As we saw some deals from LaSalle slipping into the third quarter, which we expected only next year we saw some leasing deals slipping into the fourth quarter. Our business cannot be always brought down to a quarter. But the business, leasing overall is doing really, really well. We continue over the whole year to grow very strongly, take market share. It's a very attractive platform, and we believe that this still has quite a long way to grow.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: So, should we...
Christie B. Kelly - Jones Lang LaSalle, Inc.: And, Jade, to that point, third quarter year-to-date, Americas leasing organic growth was 13%, which is all the growth.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: So, should we expect a reacceleration in the fourth quarter assuming timing holds?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think a couple of things, Jade. We saw, as we reported before, some large transactions that came in, in the second quarter and third quarter. In the Americas business, the transaction size is 25% greater than the average transaction volume in the medium period for previous years. So, from that perspective, I would say that the business is doing well, but I wouldn't expect that you would see outsized volume in the fourth quarter and remembering we don't give guidance.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thanks very much. And just lastly on the Integral integration, is this running costlier than original underwriting, and can you quantify the magnitude and sort of primary areas in which things maybe are below what you originally anticipated?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yeah. I think in the whole scheme of things, Jade, it is running a bit longer. As I mentioned, in a bit more expensive. It's in the range of under $10 million. In the whole scheme of things, while, that's a lot of money, it isn't in where we're trying to go with the business and very much in alignment with our overall capital allocation strategy for the business. In terms of areas that we're focused on, as I mentioned before, it's all around cross-sell, development of the platform, together with Integral and our European ISM business as our third strategic leg of the stool for Corporate Solutions; driving operational efficiency and updating the platform which is very, very important for our success going forward in 2018. We've got a great team behind it, superb leadership, and we're looking forward to the future.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: In terms of current business mix, should we expect something in the 6% to 8% range as a long-term EBITDA margin target? And what would you say the timeframe is to get to that level?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think, Jade, that – why don't we circle back on that after we go through 2018 and get our work done that we have to do in front of us? And I think then we could have a more informed view for you and the rest of the world at that time.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thanks so much.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thanks, Jade.
Operator: I'm showing our next call – our next question is from Marc Riddick with Sidoti. Your line is open, sir.
Marc Riddick - Sidoti & Company LLC: Hey. Good morning.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Good morning.
Marc Riddick - Sidoti & Company LLC: A lot of questions have already been answered. I did want to touch base on a couple of things briefly on, one, around leverage. I wasn't sure if you had mentioned, but I know in the pas you've kind of used 2 times as kind of a goal, and I was wondering if you would quantify that, something similar or if there's any change to that thought.
Christie B. Kelly - Jones Lang LaSalle, Inc.: No change to that thought, Marc. And to that point, I'm really pleased with our teamwork around the globe, the tools that have been developed by our treasury department in partnership with our finance and business leadership together with our data. Folks around the world that give us visibility into working capital and a much better format than we've had before. So together, with earnings performance and free cash flow, very, very pleased to report where we are in the third quarter and the momentum that we've created.
Marc Riddick - Sidoti & Company LLC: And then I guess that kind of leads into the next question that the increase of the dividend a little – was more than what you have done a year ago period. I was wondering if there had been any sort of I guess maybe some of things you just mentioned is that – should we take that as a sign of having greater confidence going forward and the potential for greater dividend increases going forward?
Christian Ulbrich - Jones Lang LaSalle, Inc.: I don't know whether we have greater confidence going forward, but we have confidence going forward. And in line with the dividend increases we have done over the last couple of years, we are continuing on that trend and we find that is healthy for our investors.
Marc Riddick - Sidoti & Company LLC: Okay. Great. And then last if you could just sort of maybe touch a little bit on what we've seen in the EMEA region post Brexit, well, certainly, that seemed to bear out in some of the numbers, but I wanted to get your thoughts on just the overall environment there and what might be something that could be carried forward? Thank you.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Well, as you well know, the continent has developed from a GDP point, much better over the last kind of 12 to 24 months. Some of the elections we have seen earlier this year were very supportive for that trend and we believe that is also ongoing in 2018. There will be always little bumps on the road. The current crisis in Spain around Catalonia is not helpful, but I think we will overcome that as well. Our Spanish business is going extremely well. The situation in the UK is still very difficult to read. The business has developed in our JLL world very nicely in the third quarter. But I think there is also an element of kind of catching up from delayed decision-making within our client base in 2016 and earlier 2017. The overall negotiations between the UK and the EU about the UK leaving the EU are still not really taking the results, which we all would have hoped to get more certainty into the business environment. So, that will be a drag, and that is clearly something which we are watching carefully and also with regards where we put our investment dollars in EMEA going forward.
Marc Riddick - Sidoti & Company LLC: Okay. Thank you very much.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thanks, Marc.
Operator: And at this time, I'm showing no further questions. I would now like to turn the call back over for any closing remarks.